Operator: Good day, everyone, and welcome to the Ensco Plc's Fourth and Full Year 2014 Earnings Results Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference call over to Mr. Sean O'Neill, Vice President of Investor Relations, who will moderate the call. Please go ahead, sir.
Sean Patrick O'Neill - Vice President-Investor Relations & Communications: Welcome, everyone, to Ensco's fourth quarter 2014 conference call. With me today are Carl Trowell, CEO; Mark Burns, our Chief Operating Officer; Carey Lowe, EVP; Jay Swent, our Chief Financial Officer; David Hensel, Senior VP of Marketing; as well as many other members of our executive management team. We issued our earnings release, which is available on our website at enscoplc.com. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties. Many factors could cause actual results to differ materially. Please refer to our earnings release and SEC filings on our website that define forward-looking statements and list risk factors and other events that could impact future results. Also, please note that the company undertakes no duty to update forward-looking statements. As a reminder, we issued our most recent Fleet Status Report on February 17. Now, let me turn the call over to Carl Trowell, CEO and President.
Carl Trowell - President and Chief Executive Officer: Thanks, Sean, and good morning, everyone. The sharp decline in commodity prices that our industry has witnessed, accelerated even further toward the end of the last year, concurrent with customers completing that capital budgets for 2015. Most have announced significant CapEx cuts, and the severe fall-off in customer demand is unprecedented compared to what we've seen in prior cycles. These market developments drove the goodwill and asset impairments we recorded in the fourth quarter of 2014, and were also a factor in our decision to reduce our quarterly dividend Reducing our quarterly dividend would give us greater capital management flexibility to navigate a more challenging market environment. In addition, we've already begun the process of implementing plans that will structurally reduce contract drilling and general and administrative expenses. Jay will discuss this in greater detail, but let me give you the high points. First, as part of our continuous fleet high-grading, we placed four additional rigs into discontinued operations. Cold stacking rigs no longer in our go-forward fleet will reduce costs associated with these rigs. Similarly, several of our rigs in our go-forward fleet are currently being cold stacked to rapidly reduce expenses, such as three jackups in the U.S. Gulf of Mexico, noted in our last Fleet Status Report. In addition to these rigs, we've decided to cold stack ENSCO 8502, with the possibility that we stack an additional 8500 series rig, if we do not see sufficient market opportunities. We expect ENSCO 8502 will be fully cold stacked by the middle of this year. This decision is not related to the capability of these rigs, which have an excellent track record. Rather, it is a reflection of having six out of seven of these rigs rolling off contract by year end and having to compete with more than 40 other sixth-gen floaters that are either idle, rolling off contract in 2015 or being delivered this year from a shipyard. There will be upfront cost to properly place rigs into cold stacked status, but we believe the savings will outweigh the upfront stacking costs for these rigs that have limited near-term contracting opportunities. We will return these rigs to the active fleet when we are able to sign term contract at favorable day rate. In terms of compensation expense, we have reevaluated premiums that we put in place for offshore employees during the market upcycle. Based on this review, we have decided to reduce discretionary compensation for offshore personnel. This will result in a meaningful decline in unit labor costs for offshore personnel in 2015 compared to 2014. As the size of our actively marketed rig fleet has decreased, we have decided that it's also appropriate to streamline onshore support functions, including corporate staff, to better align with the size of our current marketed fleet. Last week, we implemented a reduction in force for onshore personnel that will achieve approximately $27 million of annualized savings beginning in the second quarter of this year. Finally, we are negotiating with our vendors and suppliers to reduce costs while maintaining service quality. As we've said in the past, there is much happening in the market that we cannot control, but we will be aggressive about actions we can control, and that includes fleet structure and costs. As we have described, we are proactively addressing the cost side of our business so that we are well situated to capitalize on the eventual upturn in the market. We do not anticipate an improvement in the market in the near term and, as such, our approach will be to stack rigs which come off contract and have no follow-on work, thereby reducing the size of our actively marketed fleet in the near term. As we look at the risk/reward dynamics, we believe the steps we are taking to streamline costs and preserve capital are the most prudent and will eventually prove to be the best option. Now I will provide a brief review of fourth quarter results and recap some full year 2014 highlights. Excluding impairment charges and discrete and other non-reoccurring tax items during the fourth quarter, earnings per share from continuing operations were $1.68. Our marketing teams did an excellent job contracting rigs during the fourth quarter, especially in light of difficult market conditions, signing contracts for several jackups and a multi-year term for one of our floaters. During 2014, we continued our fleet high-grading strategy by adding three ENSCO 120 Series newbuild jackups. Each of these newbuild jackups has had exceptional uptime performance since commencing their initial contracts over the past year. The other component of our high-grading strategy is to sell less-capable assets and, during 2014, we sold seven jackups and one floater. The sale of these rigs coupled with our decision to sell additional floaters and jackups now classified as discontinued operations reinforces our strategy of staying ahead of the curve in terms of fleet management. By doing so, we ensure high levels of safety and operational uptime performance. During 2014, our offshore crews and onshore personnel achieved a new safety record in terms of our total recordable incident rate and improved our fleet uptime performance. These results contributed to Ensco recently earning the number-one rating in total customer satisfaction, our fifth consecutive year to earn this distinction. In addition to our number-one rating in total customer satisfaction, Ensco won nine other categories, including safety and environment, technology, deepwater drilling and shelf wells. These exceptional results in such a challenging market reflect the quality of our systems, our fleet and our offshore crews around the world, and are a real differentiator in a challenging contracting environment. In terms of capital management, we raised $1.25 billion of new capital through a debt offering and increased the amount of our revolver to $2.25 billion in September of last year. We believe the debt raise was an appropriate step, given our upcoming uses of capital, including capital commitments and debt maturities over the next two years. By increasing our liquidity, reducing our quarterly dividend and decreasing expenses, we will enhance our capital management flexibility during the market downturn. For market conditions to bottom and start to recover, we need to see some key actions. We cannot simply rely on an oil price recovery. Costs need to be driven out of the whole system and rig supply needs to be reduced. We are encouraged to see that the rate of rig retirements has increased significantly and there is some moderation in the marketed rig supply as additional assets are being stacked and newbuilds are being deferred. More needs to happen and we will continue to be proactive. Before I hand the call over to David, I would like to take a moment to acknowledge the passing of Ensco's founding CEO, Carl Thorne, earlier this year. Many of you knew Carl and watched him grow Ensco from a small regional company into a major global offshore drilling company. We are indebted to Carl for his entrepreneurial encourage, taking on the challenge of starting a new drilling company in the depths of a market downturn, not unlike the one we are experiencing today. When I joined Ensco one of the factors that attracted me to the company was the strength of the culture and the commitment to uphold a series of core values that were forged under Carl's leadership and are essential to Ensco to this day. As we face this period of uncertainty, we'll increasingly rely on those core values. Now I will turn the call over to David.
David Hensel - Senior Vice President-Marketing: Thanks, Carl. First I would like to recap some of our contract signings since our last earnings call before I provide additional color on the markets. In the U.S. Gulf of Mexico, we signed ENSCO 8503 to a multiyear contract with a repeat customer to drill in both DP and moored capacity, addressing the customer's need to drill in both deep and midwater depths. The rig is scheduled to commence this new contract in second quarter 2015. As a reminder, this rig has the record for the deepest well ever drilled in the Gulf of Mexico. On the jackup side, we signed a nine month contract for ENSCO 68, earning additional work based on the rig's strong operating and safety track record. In West Africa, we contracted ENSCO 109 for a three-year term. The rig has commenced operations ahead of schedule, after mobilizing from Singapore with excellent uptime performance. Moving to the Middle East, we secured extensions for four of our existing jackups. While market conditions have become more challenging, these contract awards show that we have earned more than our fair share of new business recently. Contracting has certainly become more difficult. But I believe Ensco's strengths give us a competitive edge as new contracting opportunities arise, even though they may be few and far between in the current environment. Customers recently ranked us number one in customer satisfaction for the fifth consecutive year, including a number one ranking in safety. We are honored by this recognition and know that this competitive advantage is most important during a downturn. The challenges of the current market environment are well known and some customers have shortened terms, where contracts allow it, while others are attempting to negotiate concessions. As we have in the past, Ensco will act to protect its contract backlog, and only entertain negotiations with customers where new terms are mutually beneficial. Since we have a lot to cover on this earnings call, rather than go market-by-market around the globe, in terms of customer demand, let me just say that we are actively pursuing virtually every outstanding tender and inquiry for floaters and jackups. In terms of the supply side, looking at the worldwide order book for floaters, approximately 30 new rigs will be delivered before the end of 2015, of which roughly half are contracted. Ensco's next two drillship deliveries, ENSCO DS-8 and DS-9, are among these contracted rigs and we expect to commence their initial contracts in the second half of this year. For competitive jackups, the newbuild order book shows approximately 60 to be delivered by year-end 2015. The vast majority of which are uncontracted. More than half of the uncontracted newbuild jackup deliveries scheduled for 2015 are with companies that do not currently operate a rig. So it remains to be seen how many of these units will end up entering the global drilling supply. Many offshore drillers with uncontracted newbuild rigs likely will continue to postpone deliveries in an effort to delay final milestone CapEx payments, thereby pushing out new supply. We have already seen deferrals and delays of new floaters and jackups originally scheduled to be delivered during 2015. While we may choose to delay future rig deliveries, we are in active discussions with customers for ENSCO 110, a high-spec jackup, and ENSCO DS-10, an ultra-deepwater drillship scheduled for delivery later this year. Overall, supply and demand dynamics will be aided by the retirement in stacking of both floaters and jackups. We expect that offshore drillers will continue to retire uncontracted rigs to reduce expenses and preserve capital during the downturn. Since September, offshore drillers have announced the retirement of 23 floaters. Over the same time period, an additional 12 floaters have been cold stacked and we believe that the majority will end up being retired from the global supply, due to the costly nature to reactivate these older rigs. These 35 rigs represent approximately 12% of competitive global supply. In 2015, 40 floaters that are 30 years of age or older will see their current contracts expire. All will be likely candidates for stacking and/or scrapping. And as a group, they are greater in number than the new supply of roughly 30 floaters scheduled to enter the market by year-end. We anticipate the stacking and/or scrapping trend will continue into 2016, with these reductions to global supply, helping to better balance floater supply and demand. Similarly on the jackup side, we expect staking to accelerate. Approximately, 80 competitive jackups that are 30 years of age or older have contracts that expire in 2015. At this time, another 40 jackups that are older than 30 years of age are idle and do not have future contracted work. Major regulatory surveys to recertify older rigs, which must take place every fifth year, can be very expensive and involve tens of millions of dollars in upgrades. In a tight cash flow environment, especially for smaller undercapitalized drillers, these rigs may be stacked and/or retired. Over the next year, our marketing teams are focused on winning as many contracting opportunities as possible. We expect to win business by leveraging Ensco's differentiated technology, our operational and safety track record and our highly capable offshore and onshore personnel. Now, let me turn the call over to Jay.
Jay W. Swent III - Chief Financial Officer & Executive Vice President: Thanks, David. Today, I'll start with our fourth quarter financial results, our first quarter and full year 2015 outlook, and then I'll wrap up with a discussion of our financial position and some closing comments. As noted in our press release, several items impacted fourth quarter results, including: a non-cash goodwill impairment of $3 billion; non-cash asset impairments, totaling $925 million; $56 million of favorable discrete and other nonrecurring tax items, primarily related to foreign tax credits; and the reclassification of four rigs into discontinued operations. Let me quickly remind everyone about how discontinued operations and held-for-sale status works. In order to put a rig into held-for-sales status, we must have a clear plan to sell the rig that has been approved by management and our board. Once the held-for-sale criteria are met, the rig's current period and historical operating results are reclassified into discontinued operations for financial reporting purposes. All future operating results are also presented in discontinued operations, so that all period-to-period comparisons are on an equivalent basis. In general, we focus our conference call comments on continuing operations. Where appropriate, we may adjust prior guidance to reflect discontinued operations accounting treatment. Having offered all of that explanation, I should mention the discontinued operations accounting rules change in 2015, so any rigs that we decide to sell in the future will remain in continuing operations. Excluding non-cash goodwill and asset impairments, as well as discrete and other nonrecurring tax items, fourth quarter earnings from continuing operations were $1.68 per share. Cash flow from operations were $546 million in the fourth quarter and $2.1 billion for the full year. Total fourth quarter revenue increased 2% to $1.16 billion from a year ago. Adjusted for rigs that were reclassified into discontinued operations, revenue was 2% lower than our prior guidance of $1.19 billion, due to unplanned floater downtime. Floater segment revenue declined 5% to $663 million versus prior year, due to lower reported utilization and average day rates, which more than offset a full quarter of operations for DS-7 compared to a partial quarter last year. The average day rate for our floaters decreased 6% to $429,000 and reported floater utilization declined to 81% versus 82% a year ago. Jackup segment revenue grew 6% to $454 million, as we added ENSCO 120, ENSCO 121 and ENSCO 122 to the active fleet. These rigs contributed to a $17,000 increase in the average jackup day rate to $147,000. Reported utilization for the jackup fleet was 88% for fourth quarter 2014, compared to 94% a year ago, primarily due to fewer contracted days in the U.S. Gulf of Mexico. Fourth quarter total contract drilling expense increased to $514 million from $500 million a year ago. Proactive expense management, including lower compensation and insurance costs, partially offset $33 million of operating costs for four newbuilds. Depreciation expense for continuing operations increased $11 million to $139 million, in line with our expectations due to a growing active fleet. General and administrative expense for the quarter was $28 million, also in line with our outlook, and $7 million less than a year ago, primarily due to lower discretionary compensation. Interest expense increased to $52 million, as expected, due to our $1.25 billion debt offering in the third quarter of 2014. So now let's turn to outlook for the first quarter. Total revenues are expected to decline slightly from fourth quarter levels of $1.16 billion, due to more uncontracted rig days. This was partially offset by the commencement of ENSCO 5006 contracts following a major upgrade and a full quarter of operations for ENSCO 109 and ENSCO 122. We anticipate first quarter contract drilling expense will increase approximately 6% from $514 million in the fourth quarter, primarily due to more operating days for ENSCO 5006, ENSCO 109 and ENSCO 122, and approximately $8 million of expenses to cold stack rigs. Savings from onshore head count reductions effective mid-February will largely offset $4 million of severance and related costs in the first quarter. We expect first quarter G&A expenses to be relatively in line with fourth quarter, as the benefit of our reduction in force offsets $1 million in severance costs for corporate staff. Depreciation expense should be approximately in line with fourth quarter levels of $139 million. Other expense is estimated to be $48 million in the first quarter, comprised of $51 million of interest expense and about $3 million of interest income. Now let's move to our outlook for full year 2015. Approximately 75% of our floater rig days and 65% of our jackup rig days are contracted for 2015. This translates into contracted revenue backlog of $3.9 billion for 2015, excluding bonuses. This amount does not reflect several factors that could add or subtract to the final results, such as, signing new contracts and extending current contracts, bonuses for operational performance above certain levels, unplanned downtime, contract amendments that may extend terms into future periods but reduce day rates in the near term and early termination of contracts. Given the current lack of visibility in terms of customer demand in our sector and the number contract rollovers we have in 2015, we won't be giving a specific outlook for full year revenues. For the same reason, we also won't be giving a detailed outlook for total contract drilling expense because we intend to manage expenses in line with our revenues to the maximum extent possible. We will, however, provide some of the factors influencing 2015 contract drilling expense. First, additions to the fleet are expected to increase contract drilling expense by approximately $155 million year to year and this breaks down as follows. $85 million as several rigs have returned to the active fleet following shipyard upgrades during 2014, $35 million for the full-year impact of the three ENSCO 120 Series that commenced their initial contracts in 2014, and $35 million for newbuilds commencing initial contracts in 2015. As noted in our press release, we're taking aggressive steps to reduce our expense base. First, we have continued to high-grade our fleet. Second, we are currently expediting the cold stacking of three jackups in the U.S. Gulf of Mexico to reduce expenses. Daily cash savings achieved by cold stacking these rigs on average will be approximately $40,000 beginning in May. As Carl mentioned, we plan to stack ENSCO 8502. We estimate the upfront cost to cold stack an 8500 Series rig will be approximately $12 million and we expect to incur approximately $7 million of this amount in the first quarter of 2015 and the remaining $5 million in the second quarter of 2015. Cash costs for a cold stacked 8500 Series rig will be less than $10,000 per day, so cash savings achieved by cold stacking this rig will be approximately $120,000 per day, beginning mid-year when cold stacking is completed. We have implemented a number of discretionary compensation reductions and expect offshore unit labor cost to decline by approximately 9% on average from 2014 levels beginning in second quarter of 2015. This will translate into meaningful cost savings, since 48% of Ensco's 2014 contract drilling expense of $2.1 billion was offshore compensation. Last week we also reduced our onshore personnel by 15%. Annualized savings from this workforce reduction is estimated to be $27 million beginning in second quarter 2015. $22 million of this amount will be in contract drilling expense and $5 million will be in G&A. For full year 2015, G&A expense is anticipated to decrease approximately 10% from $132 million in 2014. Depreciation is expected to increase to approximately $575 million, primarily due to the addition of newbuild rigs partially offset by lower depreciation for rigs impaired during 2014 that now have lower carrying values. As a result of our $1.25 billion debt offering in the third quarter of 2014, interest expense is estimated to be approximately $180 million compared to $161 million last year. We expect interest income for the year of approximately $7 million due to interest earned on certain long-term contracts for reimbursement of mobilization and capital upgrade costs. The 2015 effective tax rate should be approximately 18% based on our current fleet composition and geographic positioning. 2015 capital spending is expected to be approximately $2.1 billion. This includes $1.6 billion in newbuild CapEx, plus $250 million for rig-enhancement projects and $250 million for sustaining projects. As we look ahead, we project total 2016 CapEx to be less than half of our 2015 guidance. So let's wrap up with a review of our financial position. As of December 31, we had $9.7 billion in revenue backlog based on existing contracts in place, $1.4 billion of cash and short-term investments, a fully available $2.25 billion revolving credit facility and a total debt to capital ratio of 42%. In conclusion, I'd like to reinforce some of Carl's comments with respect to cost control. We are clearly in an uncertain environment and that demands immediate action in terms of expense reduction and cash management. We began taking proactive steps in the second quarter of last year. And I hope everyone takes away from the call today that we have significantly ramped up an already aggressive expense and cash management program. We have, in a very short period of time, taken considerable cost out of the system, both onshore and offshore. We will continue to drive cost out of the system over the course of the coming year by attacking every element of cost and managing cash outflows wherever possible. We see expense control and cash management as an ongoing imperative for the foreseeable future. We do not see our actions solely as bridging us to a recovery. We are focused on sustainable cost reduction that will allow us to be even more competitive when the inevitable upcycle arrives. So, with that, I'll turn the call back over to Sean.
Sean Patrick O'Neill - Vice President-Investor Relations & Communications: Thank you, Jay. And, Andrew, you may now open up the line for questions.
Operator: We will now begin the question-and-answer session. The first question comes from Dave Wilson from Howard Weil. Please go ahead.
David Wilson - Howard Weil, Inc.: Good morning, gentlemen. Thanks for taking my questions. One quick one. You guys mentioned that you've been quick and proactive in reducing costs quickly when it comes to rigs not having a future with the company moving those rigs into the held-for-sale category. I was curious how we should think about the other MLT 82 jackup in the Gulf of Mexico and for that matter; I guess the 116Cs that are getting cold-stacked there. Is there a possibility that these get moved over to the held-for-sale category at some point, or have you guys already gone through the iterations there and determined that those rigs will remain with the fleet longer term?
Jay W. Swent III - Chief Financial Officer & Executive Vice President: Yeah, Dave. This is Jay. I mean, we've made the best assessment we could at year-end and taken a pretty hard look at the long-term outlook. So, obviously, we'll look at that every quarter. But I think for the moment, the rigs that we've identified are the ones that are going to be in held-for-sale status for the foreseeable future here.
David Wilson - Howard Weil, Inc.: Okay, great. Thanks for that, Jay. And then just I guess the follow-on, on the dividend cut. Just running through some iterations and sensitivities on my forecast, I've got even if you did cold-stack every rig that rolled off, that you would have been able to maintain the prior dividend for quite a while. Just kind of curious as to the timing of doing it now versus maybe doing it later and seeing if the market improves and you wouldn't have to cut it. Just I know you guys talked about the rationale for the cut, but just wanted to get a little bit more color on that.
Carl Trowell - President and Chief Executive Officer: Yes, Dave. It's Carl here. There are a whole series of issues that have come up in this decision and reasons why we've done it. If I go back to the prepared comments, one of the first things that really came into our decision-making process was the rapid deterioration we saw in the market conditions as we went through the end of Q4. But even at that time, we had a relatively opaque view on what our clients were going to do and what our customers were going to do in 2015 and a little bit into 2016. And as we came to the end of the quarter and really over the last four weeks to eight weeks, we've had chance to be able to now see some of those announcements and actually sit with most of our customers and really see what the demand outlook was and their drilling plans were going to be and we've very much focused on not just 2015, but going through into 2016. And so, we've really tried to look at the company in terms of where we want to be one year to two years down the line not just today. And we looked at several things. The first was the risk and opportunities involved in an extended market downturn and from that, we decided that increased liquidity and the flexibility for our capital management was something we wanted to do earlier rather than later, one to manage the risk, but also, to be able to be in a position to take opportunities if they came and we felt that were appropriate. The second is that we wish to maintain our credit rating. And thirdly, we still wish to maintain to pay a meaningful dividend that was comparable to other S&P companies, but to give us more flexibility in what is, we think, quite clearly going to be a multiyear down cycle.
David Wilson - Howard Weil, Inc.: Great. Thanks for providing that, Carl. I'll turn the call back over.
Operator: The next question comes from Byron Pope from Tudor, Pickering, Holt. Please go ahead.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Morning, guys. Carl, I appreciate your thoughts on the 8500 Series semis and your prepared remarks and in an environment where you're clearly focused on reducing operating costs and potentially cold-stacking one if not more of the 8500 Series semis in the Gulf. How do you think about the CapEx out of the equation as it is relates to maybe making the investments in the hybrid mooring capability to make those rigs long-term competitive either in the Gulf or outside the Gulf?
Carl Trowell - President and Chief Executive Officer: So, yeah, first, just on the general decision to do this. I mean it's very much a pragmatic decision. We very much clearly see these rigs as part of our go-forward fleet. And there is a very clear distinction in our mind about the fleet structure that we wish to have in the long term. And so there are some rigs that when we stack them out, and we've clearly identified some of those already in held-for-sale that have no place in our go-forward plan, but there are rigs such as the 8500 and the 8502 which we may decide to stack but we intend to bring back. Now on the 8502, the decision has been taken largely because we just find ourselves with six of those seven rigs coming off contract and certainly in the Gulf of Mexico, we're competing against ourselves, as well as other sixth-generation rigs. But particularly 8500 is competing against themselves for the same type and class of work. So we've just been very pragmatic about that when we've looked at the overall utilization we expect from all of those rigs over the next year or so and decided that we'll take that action. Now, with respect to the hybrid upgrades that we plan, we're still certainly going to go ahead on one and probably two of those rigs. We were considering a third one and that's still an option for us and we will review that as we see the second half of the year materialize. We will likely take the opportunity, whilst the rigs are stacked, to do some additional work and to look at whether there's modifications we want to do whilst they're stack. But it is our intention to bring them back when we feel the market can support it.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. And then second question from me, just relates to the ENSCO 110 and the DS-10 and where they. And then the stage of completion and have you begun accruing process for those rigs?
Carl Trowell - President and Chief Executive Officer: Yes, so, as David said in the prepared statements, they're the next two rigs for us to be delivered out that are uncontracted at present. We're in relatively meaningful discussions with customers about both those rigs at this point. So our plan is still to bring them out on schedule. We are almost completely crude on the ENSCO 110 and partially on the DS-10. A lot less of course on the DS-10 because it's coming out towards the end of the year in the second half of the year. And our plan is still to bring them out on schedule but we can revise that depending on how our discussions go. So I don't want to be overly optimistic about it. In the current market, anything can happen, but we haven't changed plans at this stage. But we will revise that probably as we go through Q2.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: That's helpful. Thank you.
Operator: The next question comes from Ian Macpherson from Simmons. Please go ahead.
Ian Macpherson - Simmons & Co. International: Hi, thanks. Carl, a follow-up on the 8502. Clearly, you haven't gone into this without analyzing the exit strategy for unstacking it or destacking it. And I know that that always is a function of time and duration in cold stack, but given call it a one-year to two-year type scenario for being cold stacked, what do you think it will entail to bring the 8502 back? I just want to get a sense of the permanence or the flexibility with this process.
Carl Trowell - President and Chief Executive Officer: Yeah, so, firstly, let me just give you an indication. As we've already said, we have a pretty well-developed plan for both the stacking, the maintenance and to bring the rig out. It will cost, as we've said, round about $12 million to cold stack and we'll be able to reduce ongoing costs quite significantly to less than $10,000 a day in the mode that we're planning to stack it and in the location we're planning to stack. As far as coming out, we won't give guidance at this time. It will partially depend on how long it's been stacked and exactly how we do it. And the reason I say that is we're looking at a very detailed plan about actually removing some key equipment off the rig to put it in internally and controlled environments to be able to ease the return of the rig and exactly how much we do of that will govern its cost of return. And it will also, of course, depend on how much it will cost us to mobilize it to where it has another contract. So, at this stage, we're not going to give guidance, but we will do as we get closer to the time of bringing it out.
Ian Macpherson - Simmons & Co. International: Okay. Fair enough. Then I guess a separate unrelated follow up. Can you discuss any conversations you've had with Petrobras? Other drilling contractors have talked about them among other customers who are seeking price concessions. Has that conversion occurred with your Megathyst rigs? And do you anticipate renegotiations on a more pandemic level or specific Petrobras level across the backlog?
Carl Trowell - President and Chief Executive Officer: Okay. So, let's take it at a high and generic level initially. And this is happening across the industry, this is not specific to us. We do see customers in two modes at the moment. One is to generally try and reduce costs, bring down the costs. And the other is we do have some customers who are overcommitted on their drilling contracts. So there are various customers who are looking for renegotiation of some terms, usually in exchange for an extension of contract or something to mutual gain. We do have a few customers who are looking at whether they're going to early terminate or not. And so there are, to some greater or lesser degrees, various conversations happening like that. Now, specifically, we have only received two formal notifications of termination, which we included in our last Fleet Status Report, which is two jackups in Asia. And we also had one rig in the North Sea which didn't move to its next contract because it was outside the window to start because the previous contract ran on drilling operations longer than the window to start. So they're the only ones that we've actually had any formal notification on. As far as your specific question on Brazil, whilst we're always very nervous to discuss individual discussions with clients, we have not had any informal or formal discussions with Petrobras about termination on the Megathyst rigs.
Ian Macpherson - Simmons & Co. International: Okay, great. Well, that's all I have. Thank you.
Operator: The next question comes from David Smith from Heikkinen Energy Advisors. Please go ahead.
David C. Smith - Heikkinen Energy Advisors: Hi. Good morning. Thank you. I have a vague sense of what the market looked like when Carl Thorne was engineering the Penrod acquisition. And I hope we don't head back to that kind of market, but I just wanted to say kudos for the foresight on preserving liquidity. And also, I don't want to beat a dead horse, but is it fair to think that the recent engine fire played some part in the decision to stack the 8502, or was that really just a relatively minor event?
Carl Trowell - President and Chief Executive Officer: I'll let maybe Mark make another comment, but broadly no. Just very clearly, if you look at the contract roll-offs, we had one or two of those. We had 8502 and 8501 both coming off contract. And so it was we were always considering 8502 when it finished contract anyway, so the minor fire that we had was inconsequential to the decision.
John Mark Burns - Chief Operating Officer & Executive Vice President: Yeah, David, the only thing I would add is, yes, we did incur an engine room fire onboard the rig. And all emergency procedures and fire suppression systems worked well. Our regulatory authorities, of course, were advised. The rig has since been moved into a yard and the event did not play any real decision in our decision to stack the rig.
David C. Smith - Heikkinen Energy Advisors: Good color. Thank you. And a quick follow up. Just recognizing there's a growing fleet of idle floaters in the U.S. Gulf, is there an opportunity to offset some of that idle time by maybe participation in the well intervention market?
Carl Trowell - President and Chief Executive Officer: I'll let David answer that.
David Hensel - Senior Vice President-Marketing: Yeah. Good morning, David. Yes, absolutely there is. And we are actively pursuing opportunities in that space and expect to be present in that space in the coming future.
Carl Trowell - President and Chief Executive Officer: Yeah, the 8500s are actually very well suited because of the way they can handle the equipment and the intervention techniques. So it is something we're looking at.
David C. Smith - Heikkinen Energy Advisors: Glad to hear it. Thank you for your time.
Operator: The next question comes from Praveen Narra from Raymond James. Please go ahead.
Praveen Narra - Raymond James & Associates, Inc.: Good morning. And thanks for taking my question. I want to echo the kudos on making the tough but prudent decision to preserve liquidity. And kind of that same vein, could you give us an idea of where your comfort level would be on a debt-to-cap basis or, if you prefer, on a debt-to-EBITDA or any other metric?
John Mark Burns - Chief Operating Officer & Executive Vice President: Well, I think just to range it for you, we're at 42% at the end of this quarter. We've typically been more in the 32% range. Obviously, the 42% is driven by the goodwill impairments that we took this quarter. We'd always said before that we were pretty comfortable in the mid-30% range. I think for a while now we're going to have to be pretty comfortable in the 40% range. But I think we feel as comfortable today as we did it before we took those impairments. In terms of the rating agencies, the rating agencies don't attribute any value to goodwill. So I don't think it changes their view particularly. We have plenty of headroom under our revolving credit facility as well. So really even though we're a little higher debt-to-cap ratio than we've been historically, I don't think it causes us any real concern.
Praveen Narra - Raymond James & Associates, Inc.: Okay, that's helpful. And then you mentioned that you'd be willing to cold stack rigs if there was no follow-on work. Could you give the threshold in which you would decide to stack if there was no follow-on work for the next 12 months or if it was 18 months, or where that breaking point would be?
Carl Trowell - President and Chief Executive Officer: Praveen, I think that that very much depends on the rig and the location, because, as I said, we do have some rigs which, if they came off contract, we would probably make the decision that we would not keep them alive on the go-forward fleet because we have a pre-prepared plan of basically the fleet structure we would like that we go out two years to three years. So it would very much depend on whether it was a rig that fell into the status that we didn't necessarily want it in two years to three years, or whether it was one of the go-forward fleet and very much also considerations on the stacking cost. So there isn't a hard and fast re-contracting rate. I think what we've made clear is that our view on this market, is that it isn't one where you just sit back and hope everything is going to be fine and rely on just the bounce back in the oil price in the near term in H2 to bring everything back to balance. Clearly, it will take our clients quite a time, even in a higher oil price environment, to adjust budgets and react to a better high oil price that they can be sure of. And secondly, we will have a structural overhang in rig capacity that has to clear out. So our view is that we'll make a cold hard rational decision when we see rigs that don't have enough utility ongoing to justify the cost because what we don't want to get into is basically a cost bleed, cash bleed by just wishful thinking. Because when we do stack out the rigs, as we've already done, it allows us to very drastically bring down cost and expenses.
Praveen Narra - Raymond James & Associates, Inc.: That's very helpful. Thank you.
Operator: The next question comes from Dan Boyd from BMO. Please go ahead.
Daniel J. Boyd - BMO Capital Markets (United States): Hi. Thanks. There's a lot of just talk of the potential to make attractive down-cycle acquisitions. When we look back to the last market, I think the best deal that was had for an ultra-deepwater asset was in the mid-400s. Given that the market outlook is arguably significantly worse today than it was even in 2009, in order for you to see attractive opportunities, do you think we need to go significantly lower than that level, or is that a level where you think things would make sense?
Jay W. Swent III - Chief Financial Officer & Executive Vice President: Well, I think, Dan, we're probably not going to telegraph what we might be willing to pay for a distressed asset, so I think we probably can't really answer your question. I think we'll just have to see how it plays out over time.
Daniel J. Boyd - BMO Capital Markets (United States): I guess that's very fair, I really didn't expect you to. But did you think that we'll see distressed assets go from much lower than that, I guess is another way of asking?
Jay W. Swent III - Chief Financial Officer & Executive Vice President: It's probably much more likely that – you ask the question about floaters, it's much more likely we're going to see distressed assets in the jackup category, where you have a lot of speculative buyers there who are not completely financed. So I think we're going to see a lot there and you're going to see some interesting transactions probably over the next couple of years. The floaters have largely been built by people that knew why they were building them and it's people like ourselves. So I think it's less likely that you'll see the same kind of financial distress, but I think you could certainly see some going forward.
Carl Trowell - President and Chief Executive Officer: Yeah, I would echo, Jay. I'd echo Jay's point. I think we'll see it first in jackups before you see it in floaters. And how low it will go on floaters, I think will very much depend on how stretched two or three companies in the market get as we go through the next 12 months, 24 months.
Jay W. Swent III - Chief Financial Officer & Executive Vice President: It's good to have you back on the call, Dan.
Daniel J. Boyd - BMO Capital Markets (United States): Carl, thanks. Appreciate that.
Operator: The next question comes from J.B. Lowe from Cowen & Company. Please go ahead.
J.B. Lowe - Cowen & Co. LLC: Morning, guys. I just had a follow-up question on the 8500 Series that are rolling off in the Gulf. And you said that you – part of the reason why you're cold-stacking some of them is that you're basically competing against yourself. Is there any desire to move those out of the market to cold-stack, instead of just leaving them all in the Gulf?
Carl Trowell - President and Chief Executive Officer: Well, at the moment, we've made the first decision to – we're likely to stack in the Gulf region. If we did another rig, we would look at the balance between doing it there or somewhere else to be able to reposition it. In the way we have engineered to stack this rig, there is somewhat of an advantage for us doing it in the Gulf of Mexico, but we're not fixed to doing that. And, of course, the decision on whether we think there's opportunities elsewhere will come into that.
J.B. Lowe - Cowen & Co. LLC: Yeah. Is there anything about the market in the Gulf that would make it so – it might be more attractive to move the rigs elsewhere anyway, for when demand does end up coming back? Is the competition in the Gulf too much, meaning that it would actually make sense to move the rigs out before work even materialized?
John Mark Burns - Chief Operating Officer & Executive Vice President: Well, I think one way we have to look at it is we have a large concentration of those rigs in the Gulf of Mexico that probably when we first built the rigs, we never expected to end up with that many rigs working in the Gulf and that happened because of customer situations. So I think anything that we might do in the future, you probably shouldn't read into that as much as a call on the market, but as our call on maybe overconcentration in that market.
J.B. Lowe - Cowen & Co. LLC: Okay. Makes sense. Thank you.
John Mark Burns - Chief Operating Officer & Executive Vice President: Sure.
Operator: The next question comes from Alan Tingey from Tingey Advisors. Please go ahead.
Alan B. Tingey - Cannon Tingey Investment Advisors, Inc.: Thank you. And thank you, gentlemen, for taking my call. Carl, at the outset, I think you referred to the nature of the quarter as unprecedented in its fall-off in demand, which means that we're in a tougher market today than we were back in the 2007, 2008 period. Could you just take a minute and further contrast where we are today versus what you saw and experienced back in that Great Recession era. How was it specifically different?
John Mark Burns - Chief Operating Officer & Executive Vice President: Maybe before Carl answers that question I'll remind you 2007 was a fantastic year for us.
Carl Trowell - President and Chief Executive Officer: Thank you. I think the main comment as we've already made, is just the speed and, in some cases, the aggression with which our customer base has reacted to the oil price fall-off in their spending plans. And I think a large part of that is because the people – our customers don't or didn't have a very clear view on where oil price was going and how some of the fundamentals were driving it. And it's caused a very rapid pullback. So, it's certainly from I think the rest of the management team here, but certainly my experience before, this has been a much more rapid and aggressive fall-off than the recessions that happened, the down-cycles in the 2000s, which actually didn't fall off as fast and came back relatively quicker. So that's one. And that really, I think, has not only taken us by surprise; it's taken a large part of the sector and the industry by surprise. The other one, of course, that the offshore drilling sector is facing is the effect of the increase in supply over the past few years, which is, again, different from 2007 or 2008, 2009 and also from Macondo in 2010. So we have this very marked downturn in capital expenditure happening just at exactly the time that all the newbuilds are arriving, and those two are compounding each other, and that's why we believe that this is a down-cycle that is going to take a couple of years to play out, and it's why we believe that taking strong and early action is required.
Alan B. Tingey - Cannon Tingey Investment Advisors, Inc.: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sean O'Neill for any closing remarks.
Sean Patrick O'Neill - Vice President-Investor Relations & Communications: Thank you, Andrew, and thanks to everyone for participating on our call today. Very much appreciated. And have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.